Operator: Welcome to the MeaTech 2021 results conference call. All participants are at present in listen-only mode. Following management’s formal presentation, instructions will be given for the question and answer session. As a reminder, this conference is being recorded. You should have all received by now the company’s press release. If you have not received it, please contact MeaTech’s Investor Relations team at GK Investor and Public Relations at 1-646-688-3559, or view it in the News section of the company’s website, www.meatech3d.com. I would now like to hand the call over to Ehud Helft of Edison. Mr. Helft, would you like to begin?
Ehud Helft: Yes, thank you Operator. I would like welcome all of you to this conference call to discuss MeaTech’s 2021 highlights. I would like to thank MeaTech management for hosting this call. With us on the call today are Mr. Arik Kaufman, Chief Executive Officer; Mr. Guy Hefer, Chief Financial Officer, and Mr. Simon Fried, VP of Business Development. First, Arik will summarize the key highlights of 2021 and will share with you some of our company’s goals for 2022, and then Arik, Guy and Simon will be available to answer any questions you may have. Before we start, I’d like to point out that the Safe Harbor published in today’s press release also pertains to the content of this conference call. With that, I would now like to introduce MeaTech’s CEO, Mr. Arik Kaufman. Arik, go ahead, please.
Arik Kaufman: Thank you Ehud. Good day to all call participants, and welcome to our annual investors results conference call. Our goal is to host this call on a semi-annual basis in order to provide our investors in the U.S. and globally increased transparency into our activities and provide you with a regular update.  I am very pleased with our progress in 2021. The year marked key inflection points for MeaTech as we progress on our quest to be positioned as the leader in the cultured meat industry. Entering 2022, we have exceptionally broad technological coverage of our target markets with infrastructure for offering both cultured meats and fats, covering meat, poultry and  products. Throughout 2021, we made groundbreaking product progress with our technological capabilities, culminating in the world’s first and largest 3D printed cultured steak to date.  I would like to stress our vision - we are committed to advancing our cellular technology to attain a cultivated meat eating experience that is indistinguishable from farm-raised meat, and 2021 was the year in which we made significant strides towards meeting that. I would like to go into more details on our main activities during 2021.  First, I would like to address the key moves we made from the financial and managerial perspective. In line with our global expansion strategy and internationalizing our investor and public relations strategy, in March 2021 we listed on NASDAQ while de-listing from the Tel Aviv Stock Exchange in August. We used the opportunity to raise $28 million under the initial public offering of American depository shares - ADS, and this step propelled us into the first true public cultured meat company that is listed in the United States. This move squarely put us on the radar in the U.S. and ultimately led to partnerships with leading start-up and tech investors, Ashton Kutcher and Guy Oseary of Blue Sound Waves. In October 2021, the Blue Sound Waves Collective announced that they would be partnering with MeaTech. Blue Sound Waves intends to work closely with MeaTech with the stated goal of propelling MeaTech’s strategy forward, support the go-to-market activities and brand by levering the Blue Sound Waves marketing, strategic expertise and broad networks, especially in the U.S. tech fair.  In January of 2022 in cooperation with Blue Sound Waves, changes were made to the management of MeaTech which included my appointment of the CEO of the company. We believe that the MeaTech-Blue Sound Waves partnership accelerates and provides a boost to MeaTech’s potential growth and development and will go a long way in ultimately supporting the commercialization of proprietary cultured meat production technologies.  We achieved additional key milestones in 2021, which was the broadening of our technological coverage from beef cultured meat production to both cultured poultry and pork technologies. This started with our acquisition of Peace of Meat back in February 2021. Peace of Meat is based in Belgium and is a technological leader and producer of cultured avian products. This significantly diversified and broadened our portfolio by adding poultry to our existing bovine-oriented technologies.  Our new poultry activities significantly grew our addressable market. In April 2021, we announced that our focus on offering hybrid foods using MeaTech’s cultured fat process from our newly obtained subsidiary, Peace of Meat. Hybrid foods are food offerings which are composed of both plant and cultured meat ingredients which have the potential to offer a meatier product to consumers as compared to purely plant-based meat alternatives. We see this representing a significant improvement in what currently exists in the alternative meat market. We believe that hybrid products will provide us with initial revenue streams as we develop and scale our industrial process for achieving 100% pure cultivated meat products down the road.  In line with this strategy, in May 2021 we announced our intention to establish a pilot plant in Belgium in 2022 to commence pre-commercial cultured fat production. The goal of this process is to demonstrate our ability to manufacture cultured chicken fat for us in potential industry collaborations. With respect to that, we’ve announced two days ago the execution of a term sheet for the establishment of a pilot plant in Belgium.  In July 2021, we announced the initiation of R&D development activities for the potential production of cultured pork. Our broadening technology base from beef initially, then to poultry and to pork is part of our strategy to develop a broad cellular technology offering. Currently, pork is the most consumed meat across the globe, addressing a $258 billion market which very significantly grows our addressable markets, complementing beef and poultry.  We also demonstrated some significant technological success. In September, we manufactured 700 grams, or 25 ounces of cultivated pure chicken fat biomass in a single production run. This is a first breakthrough towards potentially manufacturing cultivated chicken fat at an industrial scale and cost parity. We had several selected in-person tasting events featuring our hybrid meat products during October 2021 and the feedback was excellent. In December, we announced that we had 3D printed a 100 gram steak, which is the largest ever cultured steak grown in the world to date. The cultivated steak was primarily composed of cultivated veal fat and muscle cells without using any soy or pea protein.  From a commercial standpoint, a few weeks ago we announced the expansion of our operations into the U.S. to accelerate our go-to-market strategy. We announced the opening of our California-based office to include activities in research and development, investor relations and business development. We anticipate that the new space will serve as a welcoming environment for our North American potential partners and investors to gain firsthand knowledge of our processes, view demonstrations of our technology at work, and learn about our future plans. It will also provide us with access to new R&D and tech talent who can help us continue building upon and perfecting the processes we’ve developed for cell-based real meat generation.  In terms of financial results, as you know, we are still at an early pre-revenue stage in our development. You can find our detailed financials in our filings, but in summary as at year end 2021, we have cash and equivalents on the balance sheet at $19.2 million compared to $13.6 million at year end 2020. In terms of our operating activities, R&D expenses totaled $7.6 million in 2021 compared to $2.5 million in 2020, and this increase reflects an expansion of investment in MeaTech’s research development capabilities.  Our net loss was $17.8 million or $0.16 per ordinary share, compared to $18.1 million or $0.31 per ordinary share in 2020. Cash flow from operating activities was negative $14.2 million compared to negative $3.8 million in 2020.  Before moving to the Q&A session, let me share with you some of our goals and targets for 2022. We will continue R&D efforts with the aim of launching during 2022 new hybrid products that will be able to be sold sooner, providing a bridge to pure cultured meat products. We want to push for regulatory approvals for our products in the main key target markets. We aim to significantly strengthen our market position in the U.S. to generate strong awareness and brand recognition, and maybe most prominent is our aim to sign collaboration agreements with various key industry players, either producers or retailers that will bring us closer to selling our products to the general market once applicable regulatory approval to sell cultured meat will be received. As we move into 2022, I am looking forward with great hope and excitement, as I believe that we are the beginning of a revolution that will change the nature of the meat industry, and we at MeaTech are well positioned to make a major part in this emerging industry. As the CEO of MeaTech, I will make sure that we will capitalize on this huge opportunity ahead of us. With that, myself and my management team would be happy to take your questions.
Operator:  The first question is from Sara Welford of Edison. Please go ahead.
Sara Welford: Hi, good morning. I have two questions, please. One is probably for Guy, and it was just in terms of where you see R&D expenses and the cash flow going forward, I guess more specifically for 2022, if you see roughly in line with 2021 or increasing from there.  Secondly, more generally, you obviously have a wide spectrum of cell line species, and indeed your 2021 achievements included the milestones in both chicken fat and beef steak, which were encouraging. Can you talk about your approach to a diversified portfolio, so what’s your vision for hybrid products, is it fair to assume that hybrid products will come to the market sooner than pure cultured meat? Thanks very much.
Guy Hefer: Thank you Sara. With a cash balance of $19.2 million at the end of the year and looking at the historical quarters, how our cash has moved, we expect that the expenditures on R&D will continue in the same line as it has been in the past two quarters, more or less. That’s how we see it for the foreseeable future in 2022. Of course, as we will further expand in R&D and also invest into pilot plants, then we will increase the expenditure, but as for R&D, which goes mainly to salaries and to consumables, then more or less it’s in the line of the historical to date. To your other question, absolutely we do see a bridge between the printed steak that we are working on and that’s part of the mission and vision of the company in the long run and the holy grail we are seeking. We do see hybrid products, which could be plant-based and supplemented with cultured fat, whether it’s avian fat or even cow fat, and by that having new products that will come--hit the market earlier than a purely printed steak.
Arik Kaufman: It’s Arik. I want to add that we’ve disclosed, as I said before a few days ago, that we signed a term sheet with a third party, a leading third party in order to establish our pilot plant for our fully owned subsidiary in Belgium. If we will continue with this progress, we will see our go-to-market strategy aiming for mass production of cultured fat, and when are you adding a certain percentage of this cultured fat into a plant-based ingredients, the go-to-market is quite more sooner than a product that will contain 100% cultured meat. It’s something that we foresee happening in the near future, provided that the regulator will approve to sell such products. As of today, as most of you know, no regulator allows to sell cultured meat, excluding Singapore, and once the regulator will approve to sell cultured meats, we want to be at the right position to sell such products.
Sara Welford: Okay, thank you. Just as a follow-up, what is your timeline in terms of when do you expect, or when would it be fair to assume that the regulatory approvals might start to come through? Do you think it’s fairly soon or do you think it’s more towards maybe the end of the year and into 2023?
Arik Kaufman: We are assuming that it will take approximately two years in the United States. Again, it’s an assumption, it can be longer, it can be shorter. We are talking about two years in the United States. With respect to the EU, one says that it can take a little bit longer, and smaller markets may be earlier, as Singapore, so we are aiming to approximately two years from now in the United States.
Sara Welford: Thank you.
Operator: The next question is from Ben Haynor of Alliance Global Partners. Please go ahead. 
Ben Haynor: Good day gentlemen, can you hear me all right?
Arik Kaufman: We hear you perfectly, Ben.
Ben Haynor: Great. Just first from me, on the hybrid offerings, in your testing, what proportion needs to be cultivated meat in order for the flavor, texture, other characteristics to be largely indistinguishable from animal sourced proteins?
Arik Kaufman: I’ll try to answer and then maybe Guy will join me with the answer. I think there’s no full recipe that states how much biomass or cultured fat you need to add to a plant-based product in order for the texture and the flavours to be enhanced. I can say that from tastings that we are conducting here in our facility, you can distinguish immediately between a product that is 100% plant-based to a product that contains a certain percentage of culture fats. I don’t know if it’s psychologically related or it’s flavor related, but if one will be blindfolded and will taste a product that contains a certain percentage of cultured fat, you can distinguish it immediately. 
Guy Hefer: And I want to add to that, when you think about the value proposition of a product, first and foremost it’s about taste and texture, because otherwise the clients will not come back for a second bite, so we understand that and this is why we believe cultivated fat is the perfect ingredient to enhance the mouth feel, taste and texture. Having said that, the added value that we bring to the end customer is also another aspect, so if you can replace coconut oil and other saturated fats with cultivated fat, then that can also help on health aspects or perceived health aspects that clients care about, that the end customers care about. That’s one thing. The other thing is just reducing the amount of ingredients that you have in products that are trying to mimic the real thing, call it, so by using real fat, you can actually reduce the amount of total ingredients.
Ben Haynor: That makes a lot of sense, those are really good points, obviously. Then just on the hybrid offers, do you think that those initially will be more geared towards the chicken and pork, just being that those tend to be leaner custom meats, the ones that most people consume? Does that make more sense than, you know, an 80/20 burger for you guys?
Arik Kaufman: I think it can be both. We hope to disclose soon a variety of new products, some of them are hybrid products that contain some percentage of fat. You can go to--you can talk about chicken nuggets, you can talk about sausages, hamburgers, any product that contains some percentage of cultured fat and cultured muscle can be relevant. 
Ben Haynor: Great, I’ll be on the lookout for that. Then just on the plans for the U.S. headquarters, you’ve stated it’s going to be in California, but obviously California is a pretty big state. What considerations are going in the final location? Does it really depend mostly on the talent that you’re able to attract in a given location or other factors? I mean, I would imagine the Bay Area is attractive from a tech standpoint, but you certainly have LA and you’ve got smaller--you’ve got Rio Linda, California and places like that as well. So what should investors expect on that front? 
Arik Kaufman: Our partners in Blue Sound Waves are located in California. On the other hand, it does not mean that we won’t establish a pilot plant in other states. I think the question is, as you said, talent, to find the right talent, the right incentives, each state has its own incentives that is they grant us in order to--for us to establish our plant there, so we did not decide where we will expand in the United States but we are considering all the possibilities.
Ben Haynor: Okay, got it. Then lastly for me, and thanks for the color on the regulatory approval timelines for the U.S. and EU, and then also Singapore being the only country that currently has regulatory clearance. Are there other smaller markets that are similar to Singapore, where there’s high income that would be attracted to be early adopters, that are also on the target list for regulatory approval? 
Arik Kaufman: We have seen also surveys on the consumer appetite for novel foods, and we see Asian countries - just to mention a few, Thailand and Japan as geographies where there is more acceptance for novel foods, and we definitely see those as potential countries to adopt earlier, to adopt regulation earlier. 
Ben Haynor: Okay, great. Well, that’s all I have, gentlemen. Congrats on all the progress. 
Arik Kaufman: Thank you very much, Ben. Operator, any other questions?
Operator: If there are any additional questions, please press star, one. If you wish to cancel your request, please press star, two. Please stand by while we poll for more questions. The next question is from Jennifer Scutti of Yorkville Advisors. Please go ahead.
Jennifer Scutti: Hi guys, good morning gentlemen. Thank you for all of the information. I just have kind of a follow-up question on the regulatory process.  With respect to the United States, can you go through and outline what the steps actually entail to get regulatory approval? Are there certain milestones that we look for, and just a little bit more color so I can understand how the regulatory process works. Thank you very much.
Arik Kaufman: Yes, the regulatory landscape is one that’s unfolding because very few regulators have given detailed guidance as to the exact process. From MeaTech’s perspective, we are working with consultants, we are hearing the taxability of various regulations or assistance in order to make sure that we are positioned well, and with respect to go-to-market. With regard to the United States in particular, the United States has a slightly different landscape when it comes to the regulation of cell-based meat than other jurisdictions have. It is regulated both by the FDA and the USDA, so the FDA is regulating up to the point of harvesting cells and the USDA is regulating, you could call, like, downstream processes or whatever comes out of the bioreactors. We have these two regulators that are currently regulating the approvals, and again we are assuming it will take two years but no one guarantees it. It could be a little bit less, it could be a little bit more, but the process--the train has left the station with respect to the regulatory approvals.
Jennifer Scutti: All right, thank you for the additional information. 
Arik Kaufman: Thanks, you’re welcome.
Operator: There are no further questions at this time. Before I ask Arik Kaufman to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available by tomorrow on MeaTech’s website, www.meatech3D.com. Mr. Kaufman, would you like to make your concluding statement?
Arik Kaufman: Yes, thank you very much. ON behalf of the management, I would like to thank all of our investors for your interest in our business. Please be in touch with our Investor Relations team if you wish to speak with us, and we hope to see you at our California office in the near future.  Thank you for joining us today and have a good day.
Operator: Thank you. This concludes MeaTech’s 2021 results conference call. Thank you for your participation. You may go ahead and disconnect. 